Johannes Narum: Good morning, ladies and gentlemen, and welcome to Storebrand's second quarter results presentation. As usual, our CEO, Odd Arild Grefstad, will present the key highlights of the quarter, followed by CFO, Lars Loddesol, who will dive deeper into the numbers. At the end of the presentation, participants in the Teams, webinar will have a chance to ask questions. Details on how to join the webinar are found on the Investor Relations website. But without further ado, I give the word to our CEO, Odd Arild Grefstad.
Odd Arild Grefstad: Thank you, Johannes, and hello, everyone. It has been a relatively turbulent market in the second quarter, where assets under management levels at times has been significantly lower than at the end of the quarter. The so-called Independence Day and uncertainty around global trade and geopolitics, still looms over the markets, also going into the second half of 2025. Despite the market turbulence, Storebrand delivers a record strong operating result as the business continues to grow double digits. I am pleased to see that we gained trust among new and existing customers. And we are well on track to deliver on our NOK 5 billion result target for 2025. Now let me give an overview of the second quarter's highlights. Storebrand's group cash-based earnings amounted to NOK 1,427 million in the quarter. The operating result was NOK 953 million, up by 16% year-on-year. The operating result was driven by continued strong growth in savings volumes and strongly improved insurance results in combination with increased market share. The financial result of NOK 474 million was made up by profit sharing and return on company capital. In sum, this has led to an annualized return on equity at 18% in the quarter and a robust balance sheet with a 200% solvency ratio. The strong balance sheet means continued repatriation of capital to shareholders. We plan to conduct NOK 1.5 billion in share buybacks across 2025, split into 2 tranches of NOK 750 million each. The first tranche was completed on June 26. The second tranche will be initiated today and end no later than December 19 this year. The long-term ambition is to conduct annual share buybacks of NOK 1.5 billion, in total NOK 12 billion until the end of 2030, in addition to increasing annual dividends. As many of you are familiar with, Storebrand aims to take 3 commercial positions in the markets we operate in: a, to be the leading provider of occupational pensions in both Norway and Sweden; and b, to be a Nordic powerhouse in asset management; and c, to be a fast-growing challenger in the Norwegian retail market for financial services. These positions are strengthened by our strategic enablers, people, sustainability and digital frontrunner, together unlocking additional growth. Let's look at the growth delivered in the quarter. I'm pleased to report that we again delivered double-digit growth across the business, driven by both structural growth and growth in market shares. Now let me go into further details on our growth areas and share some highlights from the quarter. And let me start with our corporate customers. Our corporate business in Norway have reached an agreement to acquire a portfolio from Aspida insurance. This acquisition will add new customers and annual premiums of around NOK 40 million, further strengthening our market presence and position in the SME market. Within public occupational pension, we have submitted bids totaling NOK 7 billion in 2025 so far, with the expected tender volume for the full year projected to exceed NOK 15 billion. This demonstrates that the market is gradually opening in advance of the expected ruling from the European Union body, ESA. In the second quarter, there has been a notable increase in activity among closed pension funds. We have successfully signed one transfer in the quarter and work closely with other closed pension funds. For Storebrand Asset Management, we are proud to have exceeded NOK 1.5 trillion in assets under management, reaching a new record level. This milestone reflects our strong market position and ability to make attractive solution for our customers. Our active funds have generated strong performance-based income amounting to NOK 91 million in the quarter and NOK 149 million year-to- date. This demonstrates our ability to deliver value to our clients through active management. Let me then turn to the Norwegian retail customers. We have now reached a 7.4% market share in the Norwegian P&C market, up from 7.1% the previous quarter. Our bank lending portfolio has seen a year-on-year increase of 12%, reaching NOK 92 billion. This growth reflects our increased ability to attract and retain retail customers with a branchless multichannel offering. We have successfully integrated our pension solutions into the Kron application, making it available to over 500,000 pension customers. This integration will not only enhance customer experience, but also provides opportunities for further growth and cross sales. Let me end with some further reflections on the development within insurance overall. Profitability in the insurance segment improved during the quarter. We delivered a combined ratio of 91%, down from 97% in the first quarter, representing a significant step towards reaching our 90% to 92% combined ratio ambition for the full year. The insurance portfolio grew 21% over the last 12 months and is now close to NOK 12 billion in annual premiums. The portfolio quality is increasing with the growth mainly stemming from short-tail P&C business. I'm very pleased with how the organization has developed and been able to take on this growth and how we use our group synergies within capital, brand and distribution to strengthen our market position. And with that, I leave the word back to you, Johannes.
Johannes Narum: Thank you, Odd Arild. Now let's take a closer look at the numbers. Lars, please go ahead.
Lars Aasulv Loddesol: Thank you, Johannes. The quarterly result of NOK 1.427 billion is satisfactory and confirms the positive development in the business. In particular, the operating result is strong with a record NOK 953 million, benefiting from improving insurance results as expected. The financial result is also strong following benign financial markets, which have given profit sharing in the Norwegian guaranteed products and good returns in company portfolios. The annualized return on equity for the quarter, which ended at 18%, confirms Storebrand's continued trajectory towards a capital- light business. The solvency margin is stable, buffers have been strengthened and the expected return on the guaranteed portfolios has a 180 basis point spread to the average guaranteed rate of return, further strengthening the solidity and long-term profitability of the guaranteed business. The solvency margin of 200% has been positively affected by strong post-tax results in the quarter as well as lower capital requirements for the bank under CRR3. Regulatory assumptions, volatility adjustment and symmetric equity adjustment had a negative effect. The initiation of the second tranche of the share buyback program starting today gives a negative effect of 2 percentage points, not shown in the figure at the end of the quarter. With the current level of solvency, buffers and interest rates, the solvency margin is very robust to fluctuations in the financial markets. The growth in the business continues and the top line growth for both the second quarter and year-to-date was 10%. The insurance result is up 60% compared to the second quarter last year. Price increases and other measures are giving the expected effects. Storebrand has double-digit growth ambitions for 2025 and a corresponding cost guidance of NOK 6.8 billion for the full year. A cost reclassification will lead to NOK 100 million in cost increases for 2025 compared to last year, and the guided NOK 6.8 billion, therefore, corresponds to NOK 6.9 billion under new recognition. This change does not impact results, as there is a corresponding increase in income. The underlying cost development since the beginning of the year is broadly in line with plan. Performance-related costs, record strong insurance sales and currency effects have led to an additional NOK 80 million in cost compared to the guided cost level year-to-date. The increase in operational costs compared to last year is explained by the inclusion of AIP, strong performance results, which lead to bonus accruals and continued strong sales with corresponding sales commissions within insurance. Financial results are strong following increased profit sharing in Norwegian guaranteed portfolios and good return on company capital. The tax charge for the quarter of 15% was below normal due to currency movements and asymmetry in how tax is calculated on assets and currency hedges. Our tax guidance is still 19% to 22%. This table shows the same numbers as on the previous page, but split into the business lines, savings, insurance and guaranteed. All business lines showed positive development in the quarter and year-to-date adjusted for the sale of Storebrand Health Insurance last year. I will comment on each area in the coming slides. The unit-linked business shows continued growth in premiums and reserves. The margins are down by approximately 3 percentage -- 3 basis points from last year. The recorded margin fall this quarter is partly of a technical nature, as there was a significant drop in market values at the beginning of the quarter, leading to lower AUM fees. Market returns and AUM development have been positive since the middle of April. The Asset Management business reports record AUM at the end of the quarter and strong performance results. Longer lead times in attracting new capital in the current financial environment have caused delays in current fundraising. This has led to a negative result of around NOK 30 million in the quarter and NOK 50 million year-to-date in AIP. We still expect a positive result for the second half, but not enough to make up for the negative result in the first half. The bank continues to grow with satisfactory margins. The insurance business is delivering satisfactory results after a challenging couple of years. In particular, the retail P&C business is developing as planned. We continue to grow the number of customers despite steep price increases and our market share, which is recorded with a quarterly delay, has gone up from 7.1% to 7.4%, as Odd Arild also mentioned. Growth comes with a cost and strong sales have led to increased sales provisions. The increased sales cost weakens the combined ratio by approximately 2 percentage points. We maintain the ambition to deliver 92% or less in combined ratio for the full year. In guaranteed, results are satisfactory. Worth to note this is profit sharing improving in benign financial markets, especially in Norwegian paid-up policies. Buffers are up by NOK 5.4 billion following strong financial markets. Company portfolios have given good returns in the quarter and year-to-date. Storebrand is committed to science-based targets and the green transition. We are ahead of our internal sustainability targets. Worth to note here is that this quarter, we were, as the only Norwegian company, ranked amongst the 100 most sustainable companies in the world by Times Magazine. Furthermore, we finalized 2 new renewable infrastructure investments in the Storebrand Infrastructure Funds. With the results we present today, we have good momentum in the group, and we are well on our way to deliver on our 2025 ambitions. Finally, we hereby invite you all to our Capital Markets Day in Oslo on December 10. The event will be hybrid and may be followed online, but we do hope that as many as possible will be able to make a trip to Oslo to meet us in person. I would also like to invite you to contact us in the coming months with any suggestions you may have for topics that you want us to cover on the Capital Markets Day. And then I hand it back to you, Johannes.
Johannes Narum: Thank you, Lars. We are now happy to take questions from our audience. [Operator Instructions] And the first question comes from David Barma in Bank of America.
David Barma: Sorry, my camera doesn't seem to be loading. So my first question is on the insurance result where -- at Storebrand forsikring, we've moved from many tough quarters to the best one in many years. Can you give us some color as to how much frequency and weather helped this period and whether you see this as a sustainable result for the rest of the year? And then on disability, it's a bit hard to track the performance of disability insurance now. So can you give us an update on performance in the -- within the insurance segment? And just linked to that, the risk result in guaranteed pensions was a bit weaker. Was that a matter of disability as well? Or was it more on the longevity or the mortality side this quarter?
Lars Aasulv Loddesol: Thank you, David. On the frequency, the frequency has been slightly lower in the second quarter than it was last year. And obviously, we don't know about how frequency is going to develop going forward. So that's -- but it has been a relatively good development on frequency in the second quarter. You started mentioning that these were record results. As we've said now several quarters after each other is that we will reprice the portfolio to match the claims development. And now we see that the price increases are catching up with the bad results or the weak results we had previously and moving much more according to plan. And we will continue to reprice to match the experience we see on the claims side. On disability, we -- the main product lines, the disability insurance linked to unit-linked plans in Norway and Sweden are developing very much according to plan and now has acceptable profitability. We still have some smaller business lines with longer tails that we are still repricing and we will experience some weaker results, including what you see in the guaranteed, which is then linked to disability. It takes a little bit more time to reprice these adequately, but these are smaller product lines. The main product lines, the disability linked to pension as well as P&C, is now developing very much according to plan and showing acceptable profitability.
Johannes Narum: We have a next question from Ulrik in Nordea.
Ulrik Årdal Zürcher: Just two quick ones from me. I was just wondering about the unit-linked Norway margin outlook. We noticed the margins are sliding maybe marginally, but a little bit and the transfer balances remain also slightly negative. Should we expect further pressure to margins for this segment? And then secondly, I just wonder about the profit sharing in Norway in the quarter. It was very high. I think we expected more to be back-end loaded. Is this some sort of extra on top of what we can expect later this year? Or have you taken out some of the potential for '25 already?
Lars Aasulv Loddesol: Thanks, Ulrik. On the unit-linked margin in Norway, the financial markets had a significant dip in the beginning of the quarter and then it came up gradually afterwards. Similarly, our AUM as a consequence, fell significantly in the beginning of the quarter and came back up against during the quarter. So when you take a measurement from the beginning of the quarter and the end of the quarter in terms of the average balance, but you have income that is impacted by the fall during the quarter, you get like a technical weaker result. So there is margin pressure within unit-linked, and we've had over the last few years a slide in margins, but the significant slide or the significant fall you saw in this quarter is not representative for the -- what we have our expectations going forward.
Odd Arild Grefstad: Yes, I think it's very important and the income is based on a daily basis here. And you have the average of the starting point and the last point and that, of course, gives some effects in such a turbulent quarter, as we have seen in the second quarter. And to answer also on the transfer balance, there is competition in this market. We are very focused on profitability. And we see that some of these elements has been transferred out, but we are very comfortable about the profitability and that we keep the profitable customers in Storebrand.
Lars Aasulv Loddesol: In terms of the profit sharing in Norway, the way we look at it, we make an estimate in every quarter, the actual performance or returns in that quarter, and then we normalize it for the rest of the year, and then we make an assessment of what the profit sharing would be based on where we stand today. So the first quarter, the financial results were weaker than normalized. So we had lower profit split on an expected basis. Now it has been a good quarter and the calculated expectation for the year has gone up, but it's not like we are -- this is purely mathematical. This is not something we push for -- do at our own discretion in terms of how we put this by quarter.
Odd Arild Grefstad: And you might also say that we -- I think we guided and started the year at around NOK 300 million in profit sharing in Norway and NOK 300 million in Sweden. And based on normal booked return, that will still be the case. But so far, it's a bit higher booked return compared to that. And if that is the outcome of the end of the year, you might have some upside on these numbers, but that depends on the final booked return, of course.
Johannes Narum: We have a next question from Hans in Danske Bank.
Hans Rettedal Christiansen: Yes. So first question is on sort of following up from the previous question on the average AUM, and it's obviously impacting your unit-linked business negatively on the margin. But if I look at the Asset Management segment, the margin looks quite good, if we were to account for sort of the average and daily fee income earning. So could you maybe just give some details on underlying what the actual average margin would have been if you take the current sort of NOK 1,500 billion AUM? And then my second question is regarding sort of your delivery this quarter. You have an ROE of north of 18%. There's obviously a bit of a tax effect, but it doesn't seem to be any big kind of funnies in the numbers. So with the upcoming CMD, do you think this is kind of a good quarter to sort of demonstrate what you can achieve in the short term here going forward? Or how should we think around that?
Lars Aasulv Loddesol: In terms of the -- or the earnings in Storebrand Asset Management, we've had good performance fees calculated in the quarter. So very good performance both in Skagen and in Delphi, which lifts the earnings. Also, the event-driven earnings has been much stronger in the second quarter than they were in the first quarter. So those are elements that lifted. So you will have some of the same dip effect, I guess, on Storebrand Asset Management, but that will be neutralized by the fact that we have good performance and good event- driven income in the quarter. So we continue to try to have between 18 and 20 basis points in net margin -- in gross margin in Asset Management, which we've been able to maintain for many, many years.
Odd Arild Grefstad: When it comes to return on equity, I'm very pleased to see the 18% return on equity in the quarter. And as Lars said, it shows really the change in the business mix towards capital-light business in Storebrand. Then again, as you said, low taxes this quarter. We also have a bit volatility in the IFRS equity. So we will look thoroughly into this, what to expect going forward. But the Capital Markets Day is the right timing for us to update on these different areas.
Johannes Narum: We have the next question from Thomas Svendsen in SEB.
Thomas Svendsen: Yes. So two questions from my side. First, just back to the profit split there in guaranteed. So given the arguments there, is it really fair to say that like you did last quarter that profit splits would be back-end loaded since you argue that higher returns will mathematically give higher profit splits independent of quarter? And the second question, in insurance, you saw your very strong traction there in the Norwegian market. So at what market share would you consider more like not a challenger anymore and sort of satisfied with the market share and when we could expect more normalized distribution costs?
Lars Aasulv Loddesol: I can start on the profit sharing part. In Sweden, it's completely automatic. So it just goes mark-to-market and it goes into the results. In the Norwegian line of business, it's a little bit more discretionary, but clear rules around it. So it means that you should not expect us to change the guiding, although a little bit more of the result has come earlier this year than what you have been used to seen previously.
Odd Arild Grefstad: Okay. When it comes to insurance, I think we are very pleased to see the growth having now 0.3% increase in market share in one quarter, is very strong in this market. We have not put a ceiling for our market share in insurance, and we are very pleased to see the growth coming through for years actually and will be a challenger as I see it for years in this market.
Johannes Narum: We have a next question from Farooq Hanif in JPMorgan.
Farooq Hanif: Two questions on insurance. So my first question is, are you still seeing on a written basis, as in your gross written premium today, the pricing trends going well ahead of risk, so claims frequency and inflation. And hence, are we going to continue to see margin expansion beyond 2025? Theoretically -- obviously, you've given very clear guidance for 2025. But just theoretically, is this something that could overshoot maybe expectations? And then secondly, in 2Q, you've mentioned obviously benign weather and good frequency. To what extent has that deviated from expectations? So can we say there's a bit of like incredibly good luck in any part of your 2Q combined ratio? Or is it just like, "You know, Farooq, that's a silly question" because it is what it is and you've given new targets. So if you could just talk around that, that would be helpful.
Lars Aasulv Loddesol: Thank you, Farooq. So the pricing is based on the last couple of years' trends and experience. So there will be a bit of a -- you will have a tailwind on the pricing compared to the development in the market. And it's likely that there will be some overshoot if the trend changes. And we've talked about the length of the tail in this business. Basically, you reprice the P&C business on an annual basis, thus it's done throughout the year. So you have a 12- to 18-month tail there. On benign weather, yes, the weather has been okay and frequency has been slightly lower than expected in the second quarter. We obviously have no idea what the weather is going to look like or the frequency is going to look like in the next coming quarters.
Unidentified Company Representative: But I think to use the word incredibly good luck, that would probably be a little bit too strong. So it's quite along the trajectory we have expected, but as Lars said, with maybe a little bit lower frequency.
Odd Arild Grefstad: And it is, of course, helpful that we see that inflation now comes down in Norway. We also see that we have had also a headwind when it comes to currency effects, that has also changed. And on top of that, we see that the frequency is somewhat lower. And of course, this is helpful for insurance results going forward as well.
Lars Aasulv Loddesol: I can add one more thing. And the very significant torrential rains we had in 2023, that is now built into the expectations going forward that you will have these kind of extreme events from time to time with the climate changes taking place generally. So I think we and everyone else are looking at improving margins in normal quarters in order to have some extra buffer to lean on, if you have another extreme weather event that is more likely now than it has been in the past.
Farooq Hanif: So just to be really clear about the first answer you gave, you're still writing ahead -- you're still correcting in what you're writing today in terms of the pricing that you're setting, which will earn over the next 12 to 18 months. And if -- unless you have a shock in inflation and frequency that's negative, that suggests that there could be underlying some further improvement continuing next year. That's kind of what you're saying.
Lars Aasulv Loddesol: That's correct.
Johannes Narum: We have a next question from Jan Erik Gjerland in ABG.
Jan Erik Gjerland: And also back on the insurance side, I would talk more about the hit ratio and how you're developing there? And when will you do more volume versus price increases in your sort of premium growth expectations. As you saw Gjensidige this morning also having a fantastic result with higher level of price increases. How much is today price driven versus volume? And how would you sort of try to walk going forward when it comes to price versus volume? And how is your hit ratio then affecting these kind of arguments? That's my first question. The second one is on the total financial return you guided on roughly NOK 300 million for Sweden, roughly NOK 300 million for Norway and somewhat for the company portfolios. Is the some of that expectation what you're sort of leaning towards when it comes to this year expectation? Or is it just, as I say, a mark-to-market effect on the corporate portfolios in Sweden and then it's more discretionary for Norway?
Lars Aasulv Loddesol: In terms of insurance, the -- like in the last couple of quarters, about 2/3 or so has been price increases and about 1/3 has been volume increases and you obviously see the increase in premiums, which has been 21%. And you see that our market share grows by 0.3% per quarter. So then equates to about 2/3 coming through as price increases and the rest is volume increases. In terms of the profit split, I'm not sure I fully understood your question.
Unidentified Company Representative: Yes. I can take that, and also very quickly on insurance. I think it's also -- when we look at the balance, we still see that we have retention in the 90s. So we see that the customers are staying with us with also the price increases we are seeing in the market today.
Lars Aasulv Loddesol: Yes, the churn rate has not really gone up with the price increase in the last few years.
Unidentified Company Representative: On the profit split Jan Erik, could you repeat what's your question if we keep the guidance on the total sum?
Jan Erik Gjerland: Exactly. Yes. Because, as I said, some of them is mark-to-market driven as Sweden and your company portfolios, while Norway is maybe more discretionary. So the total guidance, is that still what you should look at as your best guesstimate for the second half? Or should we look at a high level as you also could end up with?
Unidentified Company Representative: I think it's fair to Sweden to look at the guidance. Norway, we are booking it a little bit ahead. And then as Odd Arild said, we need to look at financial markets throughout the rest of the year. If it's relatively in with normalized risk premiums, I think you should expect around the 300 level. When it comes to the company portfolios, we are a little bit ahead, given the change in general interest rate level, since we made the guidance in 2023 so a little bit ahead on that compared to the original guidance.
Odd Arild Grefstad: Yes, somewhat higher it was.
Jan Erik Gjerland: And on the hit ratio, how is your sort of seeing these days because now the Norwegians have seen high increases in prices for almost 2 years. So is your hit ratio higher these days? Or is it lower? Is it stable? And what are you doing to sort of get a high hit ratio if you're not happy with it, even though we have a good sales cost, as I say?
Lars Aasulv Loddesol: We measure every day churn rate in the portfolio and price increases going through in the portfolio. And we have a good balance between the 2 now. And as you've seen from Tryg and Gjensidige today, we're all raising prices to match with the experience that we've had over the last few years. So it's basically -- the competitive landscape is relatively stable, but in our favor compared to -- it has not changed significantly as a consequence of the premium increases.
Odd Arild Grefstad: Yes. And of course, having the capital synergies we have in Storebrand and having a target of 90% to 92% in combined ratio, it's somewhat higher than our competitors. And we are in a very good and strong competitive position and very pleased to see the growth we have in the insurance these days.
Johannes Narum: It seems like we have some additional questions from David Barma in Bank of America.
David Barma: Just two follow-ups, please. Firstly, on the cost ratio in insurance. So should we expect the close to 17% cost ratio of Q2 to gradually normalize in coming quarters closer to the 16% or even a little bit below if we adjust for the cost that you front load? Or is that more of a -- or is that more driven by the volume component and so it should take maybe a little bit longer to normalize? And then secondly, just on the last question on the investment result in the company portfolio. This was very good and going up in a low rate environment in Q2. Was there anything specific this quarter? Or maybe could you give us the gap between your reinvestment rate and your book yield for the company portfolio?
Unidentified Company Representative: Yes. Just to start on the insurance side. I think as long as we are growing faster than the market, you will -- could expect that, that will affect the cost ratio of the company and we'll keep it at this level, all else equal. But then we, of course, also see that we are scaling the business. And when we look into the future, we expect the cost ratio, all else equal, to go down. And then the speed of the cost ratio going down will depend a little bit on how much market share and how much sales we are doing in this period.
Odd Arild Grefstad: Yes. But then again, we don't do any deferred acquisition costs in Norway. And a very large part of the cost ratio is sales costs, meaning that if we have now leveled out and did not go for increased market share, you will quite soon have seen a quite strong drop in our cost ratio and then in the combined ratio. That's also why we have guided on this extra 2% in combined ratio based on the extraordinary sales out of what we saw last year.
Lars Aasulv Loddesol: On company portfolios, they are invested in basically money market instruments with a 3 to 6 months' duration, and they yield basically money market rates plus a credit spread. In this quarter, we've seen a slight decrease in rates and a slight decrease in credit spreads. So you have a little bit of a positive mark-to-market effects, both on credit and on interest rate level. However, you can -- with a very -- it's a short duration money market portfolio invested in credit bonds where you should expect NIBOR plus a small spread.
Johannes Narum: Thank you, David, and thank you for your attention today. It looks like we have covered all the questions, so that wraps up our presentation. Our next set of results will be announced on October 22, and we look forward to seeing you again then. Thank you for attending, and goodbye.